Operator: Good day, ladies and gentlemen and welcome to the Roku First Quarter 2019 Earnings Conference Call. [Operator Instructions] As a reminder, this conference maybe recorded. I would now like to turn the conference over to James Samford, Head of Investor Relations. You may begin.
James Samford: Thank you and good afternoon and welcome to Roku’s financial results conference call for the first quarter ended March 31 2019. I am pleased to be joined on the call today with Anthony Wood, Roku’s Founder and CEO; Steve Louden, our CFO; and Scott Rosenberg, GM of our Platform business who will be available for Q&A. Please be sure to review our shareholder letter, which contains much more detail than we will cover in the introductory remarks. The following discussion including responses to your questions reflects management’s views as of today, May 8, 2019 only and we do not undertake any obligation to update or revise this information. Some of the statements made on today’s call are forward-looking and are based on our current expectations, forecasts and assumptions and involve risks and uncertainties. These statements include, but are not limited to statements regarding the future performance of Roku, including expected financial results for the second quarter and the full year of 2019 and the future growth of our business. Our actual results may differ materially from those discussed in this call for a variety of reasons. Please refer to today’s shareholder letter and the company’s filings with the SEC for information about factors which could cause our actual results to differ materially from these forward-looking statements. You will find reconciliations of non-GAAP measures to the most comparable measures discussed today in our shareholder letter, which is posted on the company’s Investor Relations website at ir.roku.com. And I encourage you to visit our IR website periodically for important content. Finally, unless otherwise stated, all comparisons of this call will be against results of the comparable period of 2018. Now, I would like to turn it over to Anthony.
Anthony Wood: Thank you, James and thanks everyone for joining today’s call. Roku is off to a great start to the year. Q1 results beat our outlook across the board and we are raising our outlook for the full year. Our growth continues to be driven by our singular focus as consumers, content publishers and advertisers embrace streaming, Roku is winning. We have an exceptional platform, an unmatched team and we deliver compelling value for viewers and partners alike. In recent weeks, some of the world’s largest media publishers have announced massive new investments in streaming, new services and customer acquisition campaigns from Disney, Apple and others will help fuel Roku’s growth for years to come. One of the themes at this quarter’s shareholder letter is the scope and scale of our Platform business, which connects the entire streaming ecosystem. Our large and growing Platform business supports content distribution, audience development and advertising. The Roku OS is uniquely purpose-built for TV screaming and is a key enabler of our Platform business. Before handing the call over to Steve Louden, I would like to highlight a milestone that I am particularly proud of. In less than 5 years, the Roku TV has gone from a disruptive idea to the market leader. We estimate that more than one in three smart TVs sold in the U.S. in the first quarter, were Roku TVs. We have taken the leads from Samsung and are now the number one smart TV OS in the country. I will now turn it over to Steve.
Steve Louden: Thanks, Anthony. We executed well in the first quarter and delivered particularly strong results. Before taking your questions, I will walk through operational and financial highlights and address our outlook. Strong Roku TV demand and continued strength in player sales delivered an incremental 2 million active accounts in the first quarter to 29.1 million active accounts. Our scale and per user engagement drove 1.6 billion incremental streaming hours sequentially to 8.9 billion hours in the quarter. Roku users streamed more content on our platform in the last 6 months than they did in all of 2017. ARPU increased another $1.11 sequentially to $19.06 driven by broad-based growth in content distribution, monetized video ad impressions and audience development spend by our content partners. Total Q1 revenue increased 51% year-over-year to $206.7 million with Platform revenue up 79% to $134.2 million to a record 65% of total revenue. Player revenue growth of 18% year-over-year again came in ahead of expectations driven by strong core retail channel sales growth. Player units were up 21% year-over-year and ASPs were down 4% as we continue to see strong demand for sub $50 players. Our key financial performance metric is gross profit, which was up 60% year-over-year this quarter to $100.9 million marking our second consecutive quarter above $100 million despite this being our seasonally lowest quarter. Gross margin was 48.8%, up 260 basis points year-over-year with continued mix shift to the higher margin Platform business partially offset by declining player margins that helped drive rapid unit and active account growth. OpEx in the quarter grew 59% to $111.6 million driven by 33% growth in headcount and higher stock-based compensation. Excluding stock-based comp, OpEx was up 43% year-over-year, which was below our revenue and gross profit growth. OpEx came in below expectations primarily due to the timing of new hires coming in later than planned, which when combined with gross profit upside delivered positive adjusted EBITDA of $10 million in Q1. With that, let’s turn over to our outlook for the full year. Based on strong Q1 results and momentum into Q2, we are raising our 2019 outlook to $1.04 billion in revenue and $470 million in gross profit at the midpoint up 40% and 41% year-over-year respectively compared to roughly 36% year-over-year in our prior outlook. Included in our outlook Platform revenue mix is expected to be roughly two-thirds of total revenue, up from 56% in 2018. For modeling purposes, you should continue to model full year Platform gross margin in the low 60s as a percent of revenue driven by continued mix shift to video advertising and the introduction of premium subscriptions. For players, we expect player gross margin to be in the low single-digits in 2019. We remind you that we are not optimizing for player gross profit as our strategy of trading player margin for account growth and platform revenue growth continues to work well. We plan to manage the business to roughly EBITDA breakeven in 2019, so some of the Q1 upside is expected to flow through to the full year. Stock comp of roughly $75 million and depreciation and amortization and net other income of $10 million, are reflected in our outlook for roughly $70 million of net income loss in 2019. For Q2, our outlook is for year-over-year revenue growth up 42% at the midpoint with Platform revenue representing roughly two-thirds of total revenue. Continued mix shift to video advertising is expected to remain a drag on Platform gross margins and when combined with mid single-digit player gross margin, our combined outlook for Q2 is for roughly 45% gross margins. As a reminder in Q2 of 2018, player gross profit benefited from a release of accruals of $8.9 million related to potential IP licensing liabilities that did not materialize and are not expected to be realized. Excluding these accrual releases in Q2 of 2018, gross margin would have been 44% versus 50% as reported. Q2 OpEx is expected to be roughly 15% higher than in Q1 as we recognized the full quarter impact of the hiring that took place in Q1 and new hires in Q2. We also recently signed a new lease agreement that was not in our prior outlook and adds an incremental $2 million to $3 million per quarter. As a result, we expect to report an adjusted EBITDA loss of roughly $7.5 million at the midpoint and a net income loss of roughly $27.5 million which includes stock-based comp of $18 million and $2 million of depreciation and amortization and net other income in the quarter. We ended the quarter with $290 million of cash equivalents and short-term investments, which included net proceeds of $98 million from the sale of Class A common stock. Subsequent to the quarter end, we upsized our credit facility by $50 million to $200 million consisting of $100 million revolver and $100 million of available term debt, but neither has been drawn. I will summarize by saying how pleased we are with the performance of the business and the strong momentum we are seeing across the broader streaming landscape that benefits Roku. With that, let’s turn over the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Evan Wingren with KeyBanc. Your line is now open.
Evan Wingren: Thank you. I wanted to ask about the Platform in the first quarter, what you saw the key drivers as like we saw some acceleration sequentially and I think we are facing a tough comparison in the licensing side there year-over-year. So I just wanted to understand the drivers? And then the outlook for the rest of year does seem to imply a bit of decal, just trying to understand why that might be? And then just finally what of the share gains that Anthony mentioned 2 to 1 in 3 smart TVs just trying to understand the drivers there that ultimately where do you think that can go to? Thank you.
Anthony Wood: Hey, Evan. This is Anthony. Thanks for the question. Yes, we had a strong quarter with Platform revenue up 79% and the drivers were very broad-based. The industry is increasingly adopting streaming that’s driving a lot of interest in our audience development business for example which is where we help partners promote their services. Advertising monetized ad impressions more than doubled again in the quarter and people are streaming more and that’s driving our content attribution rev shares. Then in terms of the outlook, I will let Steve talk about that.
Steve Louden: Yes. Hey, Evan. So, yes, we are very happy with the pace and trajectory of the business. So we have increased the outlook for the full year reflecting Q1 as well as good momentum into Q2. Obviously, the closer in we have better visibility, the outlook is or the viewpoint into the back half of the year is still forming in terms of the holiday season, but we have increased the outlook from kind of mid 30s sales growth, which what it was in the prior outlook to roughly 40%. So, we feel good we are on the right track, but this reflects kind of the best thinking and the best estimates we have at this time. So we are happy where the business was at.
Anthony Wood: Evan, this is Anthony again. In terms of smart TVs, yes, I mean it was a huge milestone for us becoming the number one smart TV OS in the country in the United States. So that’s excellent. And as a reminder last year was one in four smart TVs sold were Roku TVs. Just last quarter Q1, it was one in three, so a pretty big increase and that share increase is coming out of homegrown TV software solutions right, which is still most of the TVs sold are homegrown solutions built by the TV companies. And that we really think those in almost all cases those solutions are probably uncompetitive and that we will just continue to see gains and share of licensed OSs and we are the number one licensed OS. So there is a lot of room to grow. It’s a big opportunity.
Evan Wingren: Thank you both very much.
Operator: Our next question comes from the line of Jason Helfstein with Oppenheimer. Your line is now open.
Jason Helfstein: Thanks. Can you talk about the impact of Viacom acquiring Pluto, perhaps the acquisition of Cheddar as well, because I believe both of those were there were ad relationships etcetera. And will you continue to sell the inventory? When would you see an impact, because I assume there was something contractual and then perhaps in situations like that can a relation shift more to data licensing if they want to sell the ads themselves? So, that’s question one. And then question two, how are you thinking about the pending privacy legislation, particularly CCPA as it relates to next year both positively and negatively for the Roku Platform? Thanks.
Scott Rosenberg: Hey, Jason. It’s Scott Rosenberg here. Thanks for the question. We will comment on the Viacom and Cheddar deals or relationships specifically except to say that we are excited about the increased investment and focus by major media companies on bringing great free content over-the-top. When they do this, they ultimately accelerate the consumer move into OTT and expand the economic pie for all of us. We share in their success. We have got a great relationship with these entities. And as a platform, we are uniquely positioned to both help them drive the expansion, the consumption of their services on Roku through our audience development tools as well as drive monetization through both an ad sales relationship as well as you referenced a data relationship so that they can leverage some of our data and ad tech capabilities to better monetize. So overall, we view these as good indicators on progress in making more great free content available over-the-top. With regards to your question about privacy legislation, we continue to watch it closely as we have done with GDPR. In general, we are broadly supportive of things that help consumers control what information is shared. As a platform, we have a first-party relationship with our consumers, which allows them to directly communicate their preferences what information is shared and used and we think in general this legislation is both good for consumers as well as good for platforms like Roku who got a direct first-party relationship.
Anthony Wood: Hey, Jason, this is Anthony. I just want to add for me the most exciting thing about the Viacom/Pluto tie-up is the fact that Viacom is taking content that was previously only available through pa-TV subscriptions on MVPDs and making it available free over-the-top streaming through AVOD services. And that not only will that drive viewing on the platform, I think it will also help accelerate the shift of ad dollars over to streaming.
Jason Helfstein: Thank you.
Operator: Our next question comes from the line of Mark Mahaney with RBC Capital Markets. Your line is now open.
Mark Mahaney: Okay, I will just ask one question. Anthony, you talked about how these new OTT launches Apple, Disney could really help Roku and I know you have talked about in the past, but just give us a little bit more updated thinking on why and how that would be and when? So Apple put out what looked kind of like vaporware, but they are going to come out with streaming, Disney put out a really impressive performance, but that’s not going to be launching until December. Are there already some sort of commitments to advertise to market on with Roku, just talk about why and how and when those will be impactful to Roku?
Anthony Wood: Sure. I mean, obviously we can’t talk about specific deals, but these new services are absolutely positive for Roku and we are excited to bring them to our users. For starters with 29 million active accounts and some very effective audience development tools we are an increasingly important partner for these kinds of services that are trying to reach viewers, build audience, increase engagement. We have a lot of tools that they can use to do that and they are buying them. And they of course drive interest in streaming, it drives more cord cutters, it just propels the whole industry generally. So, it’s all very positive for us.
Mark Mahaney: Okay. Thank you, Anthony.
Operator: Our next question comes from the line of Ralph Schackart with William Blair. Your line is now open.
Ralph Schackart: Two questions. First on the quarter, you talked about Roku channels being strong, just curious if that was given more from engagement and awareness or if it was some of the new premium subscription channels driving that? Maybe a question more philosophically for Anthony, when you look at Netflix they have about 150 million global subs about 60% today is international and international is the fastest growing channel. Obviously Netflix has only paid subscription, whereas Roku includes both ad supported and paid subscriptions. You had roughly 30 million accounts today. And as you are launching internationally do you think the market opportunity in terms of subs could be as large as international and just curious on how you think that growth progresses for Roku? Thanks.
Anthony Wood: Sure. I will let Scott take the CRT question and then I will come back on the Netflix international question.
Steve Louden: Ralph, it was a great quarter for The Roku Channel. We continue to see nice growth. As you pointed out notably premium subscription has also seen great growth. We have got over 30 partners now in the Platform. We launched HBO in time for the Game of Thrones season premiere. Our view of The Roku Channel and its opportunity is that there is both great opportunity in AVOD and ad supported programming. We are still early days, but have added lots content over the last 18 to 24 months of TRC. And then on premiums subscription, while it’s early days we think the value proposition for consumers of one bill, one login combined recommendations across these services as well as the value proposition for content owners to more quickly acquire subs and retain them through an easier-to-use interface is strong. So, in general, we are very excited about the continued growth and opportunity for The Roku Channel. Today, it’s a top 5 channel in terms of reach and just as a reminder it’s under 2 years old.
Anthony Wood: Hey, Ralph, it’s Anthony. So in terms of international, I think in the last quarter newsletter in Q4 we highlighted four strategic areas of growth and one of those was international it’s a big opportunity. It’s a 1 billion broadband households worldwide. And we believe that all of televisions worldwide will be switching to a life of operating system like the Roku OS. And so it’s a big opportunity. We are putting resources into it increasingly, but we don’t have anything specific to announce this quarter about it.
Ralph Schackart: Okay, thank you.
Operator: Our next question comes from the line of Laura Martin with Needham & Company. Your line is now open.
Laura Martin: Hi there. Can you hear me okay you guys?
Anthony Wood: Yes.
Laura Martin: Slide 3, Scott, upfront, next week, last year was the first time Roku, went to upfront. I’m interested in what you’re going to try to achieve this year at the upfronts for Roku. Secondly Steve are you sticking by your breakeven EBITDA? Feel that you guys are doing better here do you want increase guidance? And Anthony is it actually possible to launch an OTT channel in the U.S. without being on Roku? Because, I would say not. But my question then is are you being able to negotiate better deals even though bigger players are coming like Apple and Disney? I don’t know how they can launch a service now that’s basically 30 million over-the-top subs so can you put that into your pricing and negotiating leverage even though these are getting to be bigger players coming to the OTT market? Thanks guys.
Scott Rosenberg: Hi Laura. Yes, as you point out this is Scott here, this is the second year where we are actively participating in the upfront processes. As a reminder for other folks in the call the upfront windows the window during which national TV buyers plan the majority of their media, I think what’s different this year relative to last year is that agency executives and brands are talking more openly than ever about their frustrations with the decline in audiences. Adults 18 to 34 audiences are down more than 50% over the since 2010 yet rates are going up. Promises made around the reduction of ad loads new ad capabilities new targeting capabilities just aren’t happening in linear TV like the buying community would like to see. So, advertisers are getting very direct about their intent to move money out of linear in OTT. Agencies all across town are hosting OTT education days as they go into the upfront. We’re a key participant and leader in that process. We are equipping agencies with case studies to understand the more the increased impact that OTT can have and most importantly planning tools to help them accurately model the incremental unduplicated audience that they can deliver in Roku relative to their linear investment. So overall, it’s an exciting window for us and a chance to really influence the commitments that brands are going to make through the rest of their year of TV buying.
Steve Louden: Hi Laura it’s Steve. Just on your second question about breakeven EBITDA. So, in general we still believe that we have we’re the leading streaming TV platform in the U.S. we’ve got a great strategic position. And as we’ve said the shift to streaming is only accelerating. So, the philosophy of running the business around EBITDA breakeven is still relevant to us as we invest in our core areas like international as Anthony mentioned on a prior question. We also talked about the advertising business the Roku Channel for continued expansion of that and growing breadth and depth as well as the Roku TV program that hit its big milestone of becoming the #1 smart TV operating system. So, there’s a lot of growth rate opportunities to continue to invest and that philosophy is still appropriate. Given where the business is and given the industry trend. Having said that we did update our EBITDA guidance and so there is a slight positive just given the outperform on an EBITDA basis in Q1. So, we’re our outlook is for $10 million to $20 million. But on one billion, outlook for the year we would still consider that roughly breakeven.
Anthony Wood: And this is Anthony. Just on your question of the importance of Roku as a platform. Yes, we are an essential partner for anyone launching a streaming service there’s no doubt about that. But we’re also a great partner. I mean we have a lot of tools that allow streaming services to build audience grow subscribers. And you know our competitive competition not only do they have smaller scale in the U.S. but they also don’t reference of building these tools services need to grow their audience. So, we have a lot of ways for them to do that. And these companies have a large marketing budgets they’re putting a lot of effort into this and we’re in a very efficient use of those marketing budgets. So yes, we’re obviously an important partner for launching the streaming service.
Laura Martin: Do you feel that Disney will market before it actually launches its service on November 12 or will we only see upside from the Disney marketing after it launches it’s, streaming service do you think?
Anthony Wood: We can’t we don’t have any comments on what Disney might do in terms of launching their service.
Laura Martin: Okay thanks guys very much.
Operator: Our next question comes from the line of Vasily Karasyov with Cannonball Research. Your line is now open.
Vasily Karasyov: Thank you very much. Anthony, I think in your prepared remarks you spoke about how much with a long way you’ve travelled in 5 years with the business. And now of course it’s changing with all these massive companies moving in. So, and you just spoke about all your business partners in terms of partnerships that you are partners. So, I wanted to ask are you not nervous a little bit that these guys like Viacom Disney who have had years of adversarial experience with their distributors and that’s in their DNA that do you think the spirit of partnership will continue with them, because it’s different dealing with Cheddar two years ago and Disney in a year. So, I was wondering if you could share your thoughts on how this plays out in the future?
Anthony Wood: Sure. Yes so, I think that first of all the milestone was specific to Roku TVs we’ve been selling players longer. But it’s important to remember that actually we weren’t the first company to launch Internet TV. Google Android TVs were shipping well before us. And we’ve been competing with large companies like that and others for years very successfully. We’re now the #1 streaming platform. And that competitive landscape the reason we do well there is because of our singular focus on the fact that we built purpose-built platform from the ground-up for streaming. It’s just a superior solution for building streaming devices and streaming TVs and we were executing well. In terms of content companies launching services they’re absolutely not competitors. They are direct-to-consumer services but they need a platform like Roku to reach consumers in the living room on TVs. And we’re a great platform for doing that and we built our platform to do that exact thing. So, they are important partners for us and we’re important partners for them as well.
Vasily Karasyov: But can for example Pluto TV say in a couple of years that the Roku channel does compete with us in a way you compete for the U.S. time you complete probably for advertising budgets? And that will influence your relationship and shift it more to the adversarial side of things?
Anthony Wood: I don’t think so. You know it’s obviously it’s a complicated industry, with different facets. But in general, our goal is to help our partners be successful in our platform help them our we view our biggest competitors as linear TV and our goal is to move as much television advertising as we can from linear TV to streaming. And we do that in the lots of different ways including working with partners like Pluto so we’re basically on the same side. I don’t know Scott if you want to add anything?
Steve Louden: Yes. I would just add and emphasize as Anthony said these are partnerships. We’ve got the tools to help these services grow their audience on Roku to better monetize on Roku it’s not a zero-sum game. Also, increasingly the other Roku Channel will be another vehicle by which content and IP owners can reach consumers in addition to standalone apps. We’ve got a first-party relationship with our customers that power that powers our audience development our marketing capabilities on behalf of content partners as well as the advanced ad capabilities. So, all of these capabilities that Roku has accrue to our mutual benefit with services with these new services as they come into OTT.
Vasily Karasyov: Thank you very much.
Operator: Our next question comes from line of Shyam Patil with Susquehanna. Your line is now open.
Unidentified Analyst: This is Brandon on for Shyam. Just a couple of quick ones. Just in terms of the monetizable ad hours growth, can you just talk about like some of the underlying drivers there in the quarter? And for your outlook like how should we kind of think about sort of increased allocation from content partners versus contribution of GRC or anything else you would call out? And then just on the ad tech side you guys kind of referenced it in the last question. But sort of where are you guys focused on in terms of building out additional advertising technology capabilities and going to market with that in 2019 and beyond?
Scott Rosenberg: Brandon, Scott here. With regards to growth in monetizable ad impressions on the platform our growth is broad-based with more than doubling of monetized ad impressions. We’re seeing growth in where we place ads in both The Roku Channel as well as broadly across the platform. That monetization function process is growing faster than overall growth of the platform. And so, our share the economics of advertising on our platform is growing as well. Overall the fundamentals are very strong we continue to command premium CPMs, our biggest focus though of course just attracting net new ad dollars into the ecosystem. We are doing that by bringing in net new TV advertisers broadening our client base extending our ad products and capabilities with new targeting new measurements new interactive capabilities. You asked about our focus in terms of ad tech we continue to significantly advance the platform in terms of our ability to sell not just on a direct reserve basis but also programmatically to deliver incremental reach for advertisers to prove mid and bottom funnel impact through both research that we offer as well as through our partnerships with research vendors. There’s a lot of work to do. Already we’re in a great place to demonstrate that ads on Roku drives significantly more impact than linear and other forms of digital advertising. And yet we’re continuing to add new research partnerships new insights new planning tools to help advertisers continue to shift the budgets out of linear TV.
Unidentified Analyst: Great. Thank you very much.
Operator: Our next question comes from the line of Michael Morris of Guggenheim Securities. Your line is now open.
Michael Morris: Thank you. Good afternoon. A couple for me. First what percentage of platform revenue in the quarter came from advertising? Second Steve when you were listing the growth drivers at the Platform segment you referenced content distribution first. And I’m wondering if we should take that to assume or to mean that content distribution was the largest driver of growth in the quarter particularly relative to advertising? And then third bigger picture, what is your view of developing your licensing exclusive content for The Roku Channel at some point? Thank you.
Steve Louden: Michael, this is Steve. I will take the first couple and others can chime in on the third. In terms of Platform segment, we don’t break out the advertising piece. But we have said in the past that it is the biggest component. It means that the thing to note there is the robust growth in the over performance was broad-based amongst those different businesses advertising the audience development and the content distribution. Certainly, my ordering of that was not intended to be a specific prioritization of the biggest driver. They were all great. But certainly, the tremendous growth in the Roku monetized video ad impression has historically been the biggest driver of the Platform segment and we think, it’s advertising overall is the biggest opportunity with those $70 billion of traditional TV budgets moving over and following viewership over time. But in terms of how the breakdown works I think one of the things to just remember is that our agreement and our relationships with our content publishers on the platform are broad-based and these deals are largely intertwined right? So, there’s take virtual MVPDs as an example their components about SVOD rev shares or TVOD they could include access to inventory they may have audience development spend coming the other way sometimes they even include some kind of wholesale purchase of players. So especially on the Platform side we look at it more on the relationship side with these players as opposed to a specific sub-segment within there.
Anthony Wood: And then in terms of licensing original content we have no plans to license original content. In TRC our focus is on adding more content categories deepening our content categories adding live content adding different business models like premium subscription as well as free content. And the big advantage we have with TRC is that we control our platform so we can integrate it into our user interface we can make it front and centre. We can have a single bill we can do great targeting. We can make it the best a great aggregation point for content and that really helps brings viewers to content and content to viewers.
Michael Morris: Great. And just on the premium subscription portion was that a material contributor to the growth in the first quarter?
Anthony Wood: It’s early days on that. We don’t have a specific update but it’s just rolling out now.
Michael Morris: Okay great. Thank you very much.
Operator: Our next question comes from the line of Ben Swinburne with Morgan Stanley. Your line is now open.
Ben Swinburne: Thank you. A couple for Scott just sticking on the theme around OTT opportunity and competition. I’m sure you’ve noticed really, I’ve noticed a lot of new businesses and a incremental focus in OTT from start-ups and other players thinking along the ad-tech line like a Trade Desk or even some former Roku employees starting businesses. And I’m just wondering, Scott, when you look at the ecosystem, do you see these sort of value-added services or ad-tech platforms that are involved at the agency level or elsewhere as a positive in terms of driving adoption of the ecosystem or has potentially competing for economics with you guys? And then secondly, I know we’re focused on moving linear TV dollars over, that all makes sense. I’m just curious if you just think about YouTube at all as an opportunity in terms of shifting dollars, there’s a lot of dollars there, just obviously it’s been focused on brand safety stuff, and I’m just curious if you ever see Roku positioned as a alternative on sort of the digital video side? And then lastly, I just wanted to ask about the international strategy for you guys long-term. Should we be expecting sort of OEM partnerships like we have in the U.S. with TCL and others to appear for Roku outside the United States? Is that sort of the plan at some point as you guys sort of formalize your international plans or might the strategy be different?
Scott Rosenberg: Hey, Ben, I’ll take the first two questions and then pass the international question to Anthony. In general, with regards to your question about all the activity around ad-supported viewing and OTT, we view it as a net positive as bringing net more great content to Roku driving consumer attention, raising awareness, creating opportunities for advertisers. And, of course, when those apps, when that content comes to Roku, we participate in the economics of that content. So, in general, we are excited about it. And as a platform, we add tremendous value to their efforts on the Roku platform, both in terms of being able to market and grow their audience on Roku, as well as help them monetize through ad sales and data relationships. So, in general, we’re excited to see that. And our focus as a company is in moving people out of linear TV into OTT and we view these services as helping accelerate that trend. We are as you point out in your second question very focused in helping TV advertisers reallocate their TV spending, but that’s not the end of the opportunity for us. There are a lot of digital video dollars spent throughout the ecosystem that often are also looking for a better home whether because it’s longform, its premium content, it’s in the living room, it’s brand safe. And so that is also part of our ad strategy is to be engaged with direct-to-consumer brands, digital-first brands, helping bring them to the Roku platform and invest. At the end of the day, our strength, our power as a platform comes from our first-party relationship with customers from control of the OS and the ad stack from our broad reach across the ad ecosystem. And so again back to your first question, we view those capabilities as helping us to participate and benefit from all this increased activity in AVOD OTT.
Ben Swinburne: Thank you.
Anthony Wood: In terms of – this is Anthony, in terms of international, I don’t have much to add except to say that Roku TVs are currently available in Canada and Mexico, as well as the United States and that we believe that every smart TV needs an operating system and that’s an important trend that we’re part of, and there’s obviously a big opportunity internationally.
Ben Swinburne: Thank you.
Operator: Our next question comes from the line of Kyle Evans with Stephens. Your line is now open.
Kyle Evans: Hi, thanks for taking my questions. You guys had the best net add of active accounts in the quarter that you’ve ever had outside of the fourth quarter. Could you comment on the churn in the period and how the growing importance of being embedded in smart TVs might change the churn numbers going forward?
Steve Louden: Yes, hey Kyle, it’s Steve. Yes, so yes, we had a great quarter in terms of adds. We added two million active accounts and that’s continued robust growth there. In terms of a reminder on seasonality, it was a strong quarter, but also the kind of Halo effect of the holiday season, where a lot of people get their players or TVs at the near the end of the quarter. The active accounts sort of run over into Q1. So, there is a bit – it’s a seasonally strong quarter although the performance was quite strong. In terms of churn and stuff, one of the things that’s interesting to us is because you don’t pay Roku directly the kind of binary churn is not a metric that we pay a lot of attention to. We really talk about that active account generation and the engagement on the platform. And so for us, the important thing is to focus on the fact that the average Roku user is up to about 3.5 hours a day, which is an acceleration of engagement on the platform and that for us is one of the key indicators that we look at and that’s roughly 50% of kind of the average U.S. household time on TV, which is getting to be a substantial mix of TV viewing. So, we’re happy with the trend there.
Kyle Evans: It’s great. Thank you.
Operator: Our next question comes from the line of Rich Greenfield with BTIG. Your line is now open.
Rich Greenfield: Hi, thanks for taking the questions. I’ve got a few. One, when you look at the featured apps on the Roku channel, sorry, not the featured, the featured content that you choose to put up top across the either on your Roku devices or on the website, what are we actually looking at like is that being programmed based on viewer interest, is that being paid for by content owners that you’re selling almost as ad placement? What are you – what’s actually happening in there and what’s the kind of driver of that business? And then related to that, just a housekeeping point, how much of Roku channel usage is off platform? And then I got a couple of follow-ups.
Scott Rosenberg: Hey, Rich, Scott here. Regarding how content percolates to the top, it’s still early days, but we’ve been quite aggressive in rolling out recommendations and other features to try to anticipate what you want to watch. And so in general, the content that you see in the Roku channel is optimized based on our machine learning driven estimates of what you’re likely to watch. We’ve seen good success in those algorithms driving increased engagement. And we have a lot of interesting work we’re doing on that going ahead. The vast majority of Roku usage is still on our platform, where of course, we’ve got fundamental advantages to drive consumption and monetization.
Rich Greenfield: And then on – I’ve noticed on the button side of the business, I’ve noticed that ESPN+ showed up, and I’m just curious, someone asked earlier about rising SVOD competition, which I think we’ve all noticed in the industry, which is great for you all. But I’m just wondering, how valuable is that button real estate on your remotes? Is it – and does that – do those buttons drive and so is there any way to think about how those buttons drive usage or the benefit historically of having buttons?
Anthony Wood: Hey Rich, this is Anthony. We have a bunch of tools in our audience development toolkit. They’re all very effective buttons, it’s one of them. There is four partner buttons per remote they sell out, they are in high demand and they do work. We’ve done a lot of test to gauge the increase in sign-ups, increased engagement from having the button in there – we don’t – they’re well worth it. We don’t – but we don’t disclose what the rate card is for button.
Rich Greenfield: And then just a last high-level question for you, Anthony. As I look at the most-watched Roku channels in any given day that you publish on your site, it looks like an increasing percentage of the top most-watched apps, our vMVPDs with YouTube for the first time showing up in the top 8. Just wondering is that – how do we think about vMVPDs rising in overall usage? Is that a net positive for Roku versus the kind of AVOD applications, a negative, I just don’t know how to think about the relative size of those moving up versus others moving down?
Anthony Wood: Yes, it’s a great category for us. It continues to grow healthily as consumers cut the cord and they look for other options, other bundles in OTT. Those are great relationships for us because all of those parties, all the virtual MVPDs are very much in user acquisition mode. And so they work very closely with us to drive consumption of their platform. With regards to your observation that they’re percolating up in terms of popularity, the general usage pattern of those services is, they drive very intense usage once a consumer subscribes to them. And it’s additive on top of whatever the consumer was doing on their Roku device before they subscribe to that virtual MVPD service.
Steve Louden: One thing we’ve noticed that’s interesting is that virtual MVPD users also watch a lot of other streaming services as well. It’s not – their behavior is different than when they were a traditional pay TV customer.
Anthony Wood: Yes. It really does though fill out the dial to what consumers are looking to watch in TV. It services that appetite for live TV and viewing for sports and it sort of seals the deal for the consumer cutting the cord and moving all their viewership to Roku.
Rich Greenfield: But the point that Anthony just trying to make just to be clear is that if you were to, let’s just say, if you watched 100 hours of TV in the linear world, you shift to a vMVPD, you watch your vMVPD on Roku, but you also watch a lot of other channels and so your actual linear view of usage may go down, but Roku benefits because you also end up watching all of these other applications on Roku?
Anthony Wood: Absolutely.
Steve Louden: Yes, that’s right.
Rich Greenfield: Thank you very much.
Operator: Our next question comes from the line of Mark May with Citi. Your line is now open.
Mark May: Thank you. Appreciate it. I don’t think this has been asked yet, but, if so, just let me know, in terms of new accounts in the quarter, can you talk about how much of them came from connected TV deals versus standalone players? And are there any segments of the TV OEMs industry that you feel like Roku under-indexes in meaning where you think you have a particular opportunity to grow your share? I don’t know if it’s based on premium, SKUs versus non-premium or however you might look at it? So, sort of those two questions kind of on the TV market. And then on the platform gross margin and gross margin outlook, for quite a while now you guys have been guiding to kind of the incremental 50% margin, but that was a trend there for a while, but the last 2 quarters, it’s been in the high-60s and close to 70%. To get to the low-60s on a full-year basis, it’s got a really kind of trend down pretty dramatically. So, what is going to change over the next couple of quarters versus what you’ve been seeing the last at least 2 quarters? Thanks.
Anthony Wood: This is Anthony, I’ll take the first two. So, in terms of the new account mix, it’s rough, it’s still roughly half of new accounts coming from TVs and half coming from players. TVs historically have been the fastest growing part of that. In terms of the TV OEMs and other under-indexed areas, I would say that we started – when we first got into the business, we started with more entry-level TVs and more 2K TVs and over time, we’ve continued to move, I mean, when I say we, I mean, us with our various OEM partners have continued to move upmarket. The percent of TVs that we – that our partners sell that are 4K TVs that’s generally growing, there’s now lots of different SKUs, includes traditional good better, best and the best is the best, Roku TVs are excellent picture quality, they compete with the best brand for picture quality, so, moving upstream. And then another – I think another important factor is that if you look at the TV market for OEMs, those OEMs that are not licensing Roku TV are almost all losing in market share and Roku’s OEMs are gaining in market share. So, that’s another trend that’s just helping us as time goes on as well. And then number 3 I think on – it sounds like that’s a Steve question.
Steve Louden: Yes, so just on the platform gross margin, I mean, the two pieces that we talked about, which can put pressure on the platform gross margin are the video ad business that tends to be at a 50% plus margin and then as that continues to grow and we’ve mentioned now for the last couple of quarters about the Roku monetized video ad impressions more than doubling, so certainly that is the fast growing piece of the business. And then the other piece, which again – it’s early days, but has a very large margin structure, because it’s a premium subscription business, because it’s handled on a growth basis and then the payment to the content provider is considered COGS, that can have a potential effect as well. So, those are two factors that are included in our outlook and that – that we think are – have the potential to drive the platform margins down over time. But it’s obviously the company margins have been ticking up over time and we’re very happy to keep mixing into that faster growing higher margin platform.
Mark May: Can you talk to us about why these factors haven’t impacted platform margins in the last couple of quarters though?
Steve Louden: Well, premium subscription businesses is just in the process of launching, so that is a new piece. And like I said it’s early days and so the rate of growth and how big that becomes this year versus down the road is an unknown. So that can change some things. And then I think frankly it’s a great problem to have but we’ve had like we said this quarter we’ve had great growth on the advertising front but also very strong growth on audience development and content distribution and those are extremely high-margin businesses. And so the mix of those things have kept the margins higher than what we would have expected. But that’s I’ll take that problem any day. All the different pieces are working really well together and again they are connected with our relationship with these different content publishers.
Mark May: Great. Thank you.
Operator: Our next question comes from the line of Chaim Siegel of Elazar Advisors. Your line is now open.
Chaim Siegel: Hi, guys. Congratulations on a great quarter. Talking about the EBITDA that you raised your estimates this year, looking out to next year and kind of the trends with the gross margins and revenues I am just wondering if you could talk about profitability going into next year. It looks like that you have some leverage going in favor?
Steve Louden: Yes, this is Steve. We haven’t provided specific EBITDA guidance for 2020 and beyond. As I mentioned earlier we think given our leadership position given the trends in the industry and our the strategic positioning that we have in the middle of all these trends that continuing to invest in the business is appropriate. But certainly the business has been accelerating on a revenue basis. We have a very robust gross profit. But we have a lot of great areas to invest that we think pay long-term great returns. So for 2019 we think running at adjusted EBITDA breakeven roughly is the right case. However how we do think that over time and again we haven’t provided specific guidance for 2020 right now that there is a lot of leverage in the business. As I mentioned mixing into a faster growing higher margin platform business is a great long-term position further business and there’s a lot of leverage in that business model overall as we continue to grow.
Chaim Siegel: It sounds great. Best of luck.
Steve Louden: Thank you.
Operator: I am showing no further questions in queue at this time. I would like to turn the call back to Anthony Wood for closing remarks.
Anthony Wood: Thanks. I just want to say thanks to everyone for joining today’s call. Our first quarter results were strong and we are pleased with the outlook for the full year. You know I found Roku because all TV and all TV advertising would be streamed. The world’s largest and most successful media companies now share that conviction. We’re excited to help their new services connect with the millions of average streamers that you struggle to thus with as the millions more who will become active accounts in the future. It’s not only scale that sets us apart. The Roku Platform is powerful. We are executing well. And we have achieved this strategic position a strategic position as the number one smart TV OS in the U.S. So again thanks for your support and happy streaming.
Operator: Ladies and gentlemen thank you for your participation in today’s conference. This concludes the program and you may now disconnect. Everyone have a great day.